Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ituran First Quarter 2018 Results Conference Call. All participants are at present in listen-only mode. Following the management's formal presentation, instructions will be given for the question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. You should have all received by now the Company's press release. If you have not received it, please contact Ituran's Investor Relations team at GK Investor & Public Relations at 1-646-688-3559 or view it in the News section of the Company's Web-site, www.ituran.co.il. I would now like to turn over the call to Mr. Kenny Green of GK Investor Relations. Mr. Green, would you like to begin.
Kenny Green: Thank you, Operator. Good day to all of you and welcome to Ituran's conference call to discuss the first quarter 2018 results. I would like to thank Ituran's management for hosting this conference call. With me today on the call are Mr. Eyal Sheratzky, CEO, and Mr. Eli Kamer, CFO. Eyal will begin with a summary of the quarter's results followed by Eli with a summary of the financials. We will then open the call for the question-and-answer session. I would like to remind everyone that the Safe Harbor statement in today's press release also covers the contents of this conference call. And with that, Eyal, would you like to begin please?
Eyal Sheratzky: Thank you, Kenny. I'd like to welcome all of you and thank you for joining us today. We are pleased with our performance in the first quarter, representing a solid start of 2018. At the end of the quarter, we had 1.18 million subscribers, adding a net 21,000 subscribers during the quarter, within our expected range of 20,000 to 25,000 per quarter, and that excluded the subscribers we have been adding through IRT in Brazil and Argentina in the past three years. Our ongoing subscriber growth led to subscriber revenue amounting to $46 million in the first quarter of 2018, a record for Ituran and up 15% over last year. As you know, IRT is a joint venture with an OEM agreement with a global auto carmaker in Brazil and in Argentina, providing their customers with telematics services on various new car models they sell for the first year. IRT has already been successfully operating for two years. As a 50% owner, we do not consolidate IRT's results into our own, including the subscriber numbers. Thus, the contribution from IRT is a part of our share in affiliates. IRT continues to perform in line with our expectations and we are bringing new subscribers constantly to this service. IRT has the potential for Ituran to bring additional hundreds of thousands of sales using our services in Brazil and Argentina. In fact, it positions us as the clear market leader in Brazil. I would also like to talk a little about our connected car activities. As we move through 2018, we are beginning to reap the fruits of some of our investments in the connected car technologies we have developed over the past few years. In Israel, last quarter I spoke about our program with Toyota called Toyota Connect, built on our Ituran connected car solution, which we launched in 2017. It has already gained a few thousand subscribers and continues to grow each quarter. While I mentioned last quarter that we were in discussions with other car importers in Israel, we recently signed with Champion Motors, an Israeli importer of Volkswagen SEAT, and Skoda, to our connected car services and we have already seen some subscribers through this service, which we expect will grow continuously. In summary, we are pleased with our performance in the first quarter and we look forward to continued strong performance in 2018 and beyond. I will now hand the call over to Eli for the financial review. Eli?
Eli Kamer: Thanks Eyal. Revenues for the first quarter of 2018 were $63.1 million, up 13% when compared to revenues of $56.1 million in the first quarter of 2017. Revenue breakdown for the quarter was $45.7 million coming from subscription fees, a 15% year on year increase. Product revenues were $17.4 million, which were a 7% increase over the same quarter last year. The geographic breakdown of revenues in the first quarter was as follows; Israel, 53%; Brazil, 39%; Argentina, 5%; and United States, 3%. Gross margin in the quarter was 49.9% compared with the gross margin of 50.1% in the first quarter of last year. The gross margin in the quarter on subscription fees improved to 68.4% compared with 66.1% in the same period last year. The gross margin in the quarter on product was low at 1.2% compared with 11.2% in the same period last year. The particularly low margin on product during the quarter was due to the mix of product sales in the quarter. Operating profit for the first quarter of 2018 was $15.5 million, an increase of 13% compared with an operating profit of $13.8 million in the first quarter of 2017. EBITDA for the quarter was $19.2 million, an increase of 13% compared to an EBITDA of $17 million in the first quarter of 2017. Net profit was $11.3 million in the quarter, or fully diluted EPS of $0.54. I note that in the first quarter of 2017 we saw a $4 million gain in our share in affiliates, which was mainly due to investment round at Bringg at higher valuation than our original investment. Thus, our first quarter 2017 net income was $13 million including this income, which translates to a fully diluted EPS of $0.62. Cash flow from operations during the quarter was $7.5 million. As of March 31, 2018, the Company had net cash of $38.2 million, or $1.82 per share. This is compared with $40.4 million or $1.93 per share at the end of the year 2017. I note that Ituran paid out to shareholders a cash dividend of $5 million during the first quarter. For the first quarter, a dividend of $5 million was declared, in line with the policy of distributing at least $5 million per quarter. The dividend's record date is June 26, 2018 and the dividend will be paid on July 11, 2018, net of taxes and levies at the rate of 25%. And with that, I'd like to open the call for a question-and-answer session. Operator?
Operator: [Operator Instructions] The first question is from Ethan Etzioni of Etzioni Portfolio Management. Please go ahead.
Ethan Etzioni: Congratulations on the good quarter. First question please, can you refer to the situation in Latin America, currency and economy, how that's affecting you, particularly in the second quarter and going forward?
Eyal Sheratzky: In general, of course we need Real and Argentinian peso stronger. Since we are working on an average currency exchange rate per quarter, I believe that it will not have a very material effect in Q2. Practically with Ituran always it has some influence, but I believe it will be minor, but it will be.
Ethan Etzioni: And going forward, if the exchange rate stays where it is now?
Eyal Sheratzky: If it stays where it is now, so the numbers that convert into dollar now will continue to convert into dollar, but practically saying, we faced in Brazil about two years ago even much more dramatic fluctuation, and still as you can look backwards on the results and you see that the influence didn't create problem and we continued to grow with the profits, with the profitability, and with all the margins in our results, which we expect to be in the future. But of course this is one of the disadvantages while you are working in markets which has, let's say, kind of exotic currencies. By the way, and this is important to be mentioned, we are working in local currencies in our cost, expenses, as well as revenues. So, the translation goes to dollar, but on the operational side we are working with local currencies.
Ethan Etzioni: All right, I understand. And Argentina, [indiscernible] you don't see a material impact?
Eyal Sheratzky: No, because Argentinian contribution to our P&L is a few percentages, so the influence is very, very minor. Again, just to send you back exactly a year ago, February 2017, there was a 40% fluctuation in one day and the influence on the same quarter for us was very minor. So, it was a much worse case than now. This is again because Argentina result is less than 5% of our total results.
Ethan Etzioni: Okay. Second question please, with regard to the margin on the product side, it seems to be a little lower. Can you please explain?
Eyal Sheratzky: Yes. By the way, again this is something that we always have some volatility in the margins, but the main aspect is the mix of product sales. But I would like to add some information. As I mentioned by myself in my speech, and it started a few quarters ago, Ituran is not considering only stolen vehicle recovery services company. We added connected car solutions, accident notifications features, more fleet management and driver diagnostic solutions, which increased a little bit the cost of the unit. On the other hand, in order to continue being attractive for getting subscribers, which at the end of the day is a much more profitable and recurring revenue solution, so we sometimes give up on the margins. This is the main reason.
Ethan Etzioni: I understand. And on the share of affiliates, the $0.7 million, $700,000 this quarter, is that kind of the representative run rate or should we [indiscernible]?
Eyal Sheratzky: This is mainly built on two or three main items. The two main items are IRT, and on the other end, our share in the expenses of the very successful startup, Bringg, which increased its burn rate and we have to take our share with its P&L. So, practically, this is the two aspects. I cannot measure exactly but it seems that in the next I would say coming quarter or two it should be the expected number.
Ethan Etzioni: Can you break out IRT?
Eyal Sheratzky: No, we are not doing it publicly.
Ethan Etzioni: Okay, thank you.
Operator: The next question is from Charles Elliott of Inflection Point. Please go ahead.
Charles Elliott: Just a follow up on the product margin, is it possible you would go into loss for this side to feed the growth of the rest of the business?
Eyal Sheratzky: We couldn't hear you very clear. Can you say again?
Charles Elliott: Another question on product margin, I appreciate that this is to feed the profitability of the rest of the business, but is it possible that your product side would go into negative margin to feed the growth of the rest of the Company?
Eyal Sheratzky: Practically in the last 23 years of Ituran operation, I don't remember that we – at least based on our strategy, we never sell any product in losses. But theoretically, per quarter or per event or per our campaign, it can happen, but we prefer and we'll do our best and our strategy is always to sell the product with profits. We have to understand that most of the sales are in Israel because in Latin America, which is our next major market, we sell it like we lease the hardware. So, we are talking about sales in Israel, and as expected, I said most of the reasons of changing in the gross margin on the product is because the product today includes much more features that we can add on to the services and to our ARPU recurring revenues. So, sometimes we are giving up some raising in the revenue price in order to keep the same customer growth, but we are not expecting or we are not strategically work with selling in losses.
Charles Elliott: Got it. Thank you.
Operator: The next question is from Sasha Karim of IPI. Please go ahead.
Sasha Karim: First a question on your net subscriber growth of 21,000, does that include any contribution from IRT subscribers?
Eyal Sheratzky: No, not at all. IRT, since we hold only 50% in this joint venture, so based on the counting policy, we cannot or we are not allowed to consolidate any details and it also means that we are not providing any data regarding the subscriber base of this joint venture. So, the number, the 21,000, it's fully done by Ituran.
Sasha Karim: And perhaps maybe you can just talk qualitatively, because obviously the growth in net subscribers has gradually been falling over the last few quarters, but if you were to include the contribution from premium IRT subscribers, i.e., those after year one, should we assume that there isn't really a slowdown in general in the quarterly traction there?
Eyal Sheratzky: Practically there was some cannibalism I would say at the beginning in Brazil since some percentage of Ituran customers came from cars that was sold by this car manufacturer. But since we started it two years ago, we more faced it at the beginning, and when you are looking today compared to the last quarters, I don't think to be honest that this is the reason of a little bit reducing in growth, I would more say that it's because of some things happened in Latin America economic situation which influenced on insurance frauds and things like this, we are more tied with decision, which customer to add to our customer base. It's something that we do in purpose. We also found some solutions to do in order to come back to higher numbers of subscribers than this 20,000 or 21,000 and this is the main reason.
Sasha Karim: Can you give me the rough indication of what range you'd be comfortable to expect going forward for Company net additions?
Eyal Sheratzky: Since we are still in the range and we still believe that this range is something that we live quietly with, so we are not changing it.
Sasha Karim: Can you remind me, is it 20,000 to 35,000?
Eyal Sheratzky: 20,000 to 25,000. It's even easier to say 80,000 to 100,000 on an annual basis because when you have almost 1.2 million subscribers, sometimes you can miss 1,000 or 2,000 per quarter, but on an annual basis I would say that 80,000 to 100,000 is something that we live in very good confidence about it.
Sasha Karim: Great. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Sheratzky to go ahead with his closing statement, I would like to remind participants that a replay of this call will be available tomorrow on Ituran's Web-site, www.ituran.co.il. Mr. Sheratzky, would you like to make your concluding statement?
Eyal Sheratzky: On behalf of management of Ituran, I would like to thank you our shareholders for your continued interest and long-term support of our business and I look forward to speaking with you next quarter again. Have a good day.
Operator: Thank you. This concludes the Ituran's first quarter 2018 results conference call. Thank you for your participation. You may go ahead and disconnect.